Operator: Good afternoon and welcome to the Exponent Fourth Quarter and Fiscal Year 2023 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joni Konstantelos. Please go ahead.
Joni Konstantelos: Thank you. Good afternoon, ladies and gentlemen. Thank you for joining us on Exponent’s fourth quarter and fiscal year 2023 financial results conference call. Please note that this call will be simultaneously webcast on the Investor Relations section of the company’s corporate website at www.exponent.com/investors. This conference call is the property of Exponent and any taping or other reproduction is expressly prohibited without prior written consent. Joining me on the call today are Dr. Catherine Corrigan, President and Chief Executive Officer; and Rich Schlenker, Executive Vice President and Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including, but not limited to, Exponent’s market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Exponent’s periodic SEC filings, including those factors discussed under the caption Risk Factor in Exponent’s most recent Form 10-Q. The forward-looking statements and risks in this conference call are based on current expectations as of today and Exponent assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now, I will turn the call over to Dr. Catherine Corrigan, Chief Executive Officer. Catherine?
Catherine Corrigan: Thank you, Joni and thank you everyone for joining us today. I will start off by reviewing our fourth quarter and fiscal year 2023 business performance. Rich will then provide a more detailed review of our financial results and outlook for 2024 and we will then open the call for questions. Exponent’s world class team of experts delivered a 7% increase in net revenues in 2023, showcasing the effectiveness of our highly diversified portfolio of services. Notably, our reactive business grew in the high-teens, driven by robust failure investigations and disease-related work primarily for the transportation and energy sectors. While proactive services for the consumer electronics sector declined year-over-year due to ongoing industry headwinds and product lifecycle timing, the remainder of our proactive portfolio grew in the mid single-digits for the year. Turning to our engagements in more detail. Our roots in failure analysis and the leading market position that we have earned over the past 50 plus years continue to be important drivers of demand for our reactive services, Exponent is retained on some of the largest and highest profile matters around the world, spanning a wide array of issues from wildfires to advanced transportation and more. Our recent retention by General Motors Cruise unit to investigate the cause of their driverless vehicles collision with a pedestrian is but one recent public example. In the energy industry, our experts are advising on disputes around the world, involving everything from refinery explosions and liquefied natural gas facility operations to massive offshore wind farm construction and pump storage power plant performance, whether it’s a question of the integrity of longstanding infrastructure or the imperatives of the energy transition, pushing the limits of technology, one common thread is certain. Complexity of bounds, it’s not going away and these are places where Exponent thrives. Our leading market position has continued to expand as we further differentiate our experience in this portion of the business. Our world class and highly diversified expertise combined with the vital nature of our insights in these high stake situations positions this part of the portfolio well to weather various economic cycles. In addition to our reactive work, our team’s ability to anticipate clients’ needs throughout the product lifecycle continues to be a significant differentiator for Exponent. Within our proactive services, demand was strong for our regulatory consulting activities in the chemicals industry, evaluating the effects of chemicals on human health and the environment. We are pleased to be advising clients in this sector as they develop and bring to market increasingly complex technologies, such as RNA-based pesticides. We also saw increased engagements in product development and safety-related consulting for the life sciences sector, including medical devices and pharmaceuticals. As expected, we continue to face headwinds in the consumer electronics sector due in part to the timing of client product lifecycles as well as broader headwinds in the industry. We saw year-over-year declines in human subject research engagements as well as product development consulting as products moved out of the development stage and into the refinement stage. Excluding consumer electronics, net revenues for the firm increased 16% year-over-year. In the fourth quarter, we noted an increased client sensitivity to budget concerns, which resulted in the slowing or pausing of some litigation activity. For example, we saw this in the chemical sector, which is currently responding to elevated levels of destocking post-pandemic. While this created a lower-than-expected growth rate of our reactive business in the quarter, all indications are that this activity will resume over time based on the demands of global litigation and arbitration dockets, which show no signs of easing. We remain actively engaged with our clients and are well positioned to help address their critical needs. Turning to our segments. Exponent’s engineering and other scientific segment represented 84% of revenues before reimbursements in the fourth quarter and 83% of revenues before reimbursements for the full year 2023. Revenues before reimbursements in this segment increased 2% for the fourth quarter and 8% for the full year driven by demand for Exponent’s services across the transportation and energy sectors. Exponent’s environmental and health segment represented 16% of revenues before reimbursements in the fourth quarter and 17% of revenues before reimbursements for the full year 2023. Revenues before reimbursements in this segment decreased 3% for the fourth quarter and increased 5% for the full year. Fourth quarter revenue in this segment was impacted by the aforementioned client budget constraints, which resulted in delays in litigation work. Growth in this segment for the year was primarily driven by Exponent’s safety-related work evaluating the impacts of chemicals on human health and the environment. As we expected, full-time equivalent employees in the fourth quarter decreased 3.4% compared to the third quarter, reflecting our ongoing focus on strategically aligning resources with demand across the business. At the same time, we continue to invest in growth areas of the business, developing our exceptional talent and expanding our differentiated capabilities to better meet the evolving needs of our clients. For example, we continue to position ourselves across a spectrum of challenges involving existing infrastructure, all the way to new investments and technologies to support the energy transition. While the automotive industry’s aspirational goals for electric vehicle growth has been tempered in part due to customer hesitation, it is precisely this heightened expectation of safety and performance of new and complex technologies that is a fundamental business driver for Exponent. We are seeing evidence of this on the reactive side with Advanced Driver Assistance technologies, which are increasingly at issue in automotive disputes. As we look ahead to 2024, we are mindful that we are coming out of the year with higher than usual growth in our reactive business, creating a high hurdle rate for year-over-year comparisons. In the current environment, which I’ve described, we expect reactive revenues to remain in line with 2023 levels. We also expect some continued headwinds in the consumer electronics sector combined with constrained budgets and project delays that we are seeing with some clients in other pockets of the business. In this dynamic environment, we remain keenly focused on new business development and strategic investments in growth opportunities as well as aligning our resources and costs with anticipated demand. We will continue to position Exponent on the forefront of innovation supported by our exceptional team, our reputation as a leader in high-profile failure analysis and our differentiated capabilities across the product life cycle. Our performance in 2023 with growth in all major industries we serve with the exception of electronics demonstrates the power of our portfolio and value proposition in a challenging environment and gives us confidence in our ability to deliver long-term profitable growth and value for our shareholders. I’ll now turn the call over to Rich to provide more detail on our fourth quarter and fiscal year 2023 results as well as discuss our outlook for the first quarter and the full year 2024.
Rich Schlenker: Thank you, Catherine, and good afternoon, everyone. Let me start by saying all comparisons will be on a year-over-year basis unless otherwise noted. For the fourth quarter of 2023, total revenues decreased 3.5% to $122.9 million and reimbursable – revenues before reimbursements or net revenues, as I will refer to them from here on, increased 1.1% to $113.9 million as compared to the same period in 2022. This includes a decline of approximately $9.6 million in our work for consumer electronics sector, which created an 8.5% headwind as compared to the fourth quarter of 2022. Please note that the decrease in total revenues in the fourth quarter is due to lower reimbursable expenses from human subject studies. Net income for the fourth quarter was $20.9 million or $0.41 per diluted share as compared to $22.5 million or $0.44 per diluted share in the prior year period. Exponent’s consolidated tax rate was 30.4% in the fourth quarter as compared to 26.2% for the same period in 2022. The increase in our consolidated tax rate was primarily due to a onetime tax charge associated with the remeasurement of our deferred tax assets in connection with relocating one of our offices to a location designed as a tax exempt for state and local taxes. This onetime charge reduced the fourth quarter’s earnings per diluted share by $0.02. EBITDA for the quarter was $30.5 million, producing a margin of 26.8% of net revenues as compared to $31.1 million or 27.6% of net revenues in the same period of 2022. This year-over-year decline in margins was anticipated as expenses normalize post pandemic and utilization was lower. Billable hours in the fourth quarter were approximately $341,000, a decrease of 3.7% year-over-year. This decrease was driven by the headwinds in our consumer electronics sectors. The average technical full-time equivalent employees in the fourth quarter were 1,012, which is an increase of 2.3% as compared to 1 year ago. Sequentially, full-time equivalent employees decreased 3.4% as compared to the third quarter of 2023, demonstrating our progress on strategically aligning our resources with demand. Utilization for the fourth quarter was 65% down from 69% in the same period of 2022. The realized rate increase was approximately 4.8% for the fourth quarter as compared to the same period a year ago. In the fourth quarter, after adjusting for gains and losses and deferred compensation expense, compensation expense increased 3.3%, included in total compensation expense is a gain in deferred compensation of $9 million as compared to a gain of $6.7 million in the same period of 2022. As a reminder, gains and losses in deferred compensation are offset to miscellaneous income and have no impact on the bottom line. Stock-based compensation expense in the fourth quarter was $3.2 million as compared to $4.3 million in the prior year period. Other operating expenses in the fourth quarter were up 14.3% to $10.7 million, driven primarily by increased employee engagement at our offices and investments in our infrastructure. Included in other operating expenses is depreciation and amortization expense of $2.4 million. G&A expenses declined 14.6% to $5.9 million for the fourth quarter. The decrease was primarily due to a reduction in the use of outsourced personnel and a smaller annual company meeting. Interest income increased to $1.9 million for the fourth quarter. Higher interest income was driven by an increase in interest rates. Miscellaneous income, excluding the deferred compensation gain was approximately $700,000 for the fourth quarter. During the quarter, capital expenditures were $1.9 million. We distributed $13.1 million to shareholders through dividend payments and repurchased $7.2 million of common stock. Turning to the full year results. For the year 2023, total revenues increased 4.6% to $536.8 million, and net revenues increased 7.2% to $497.2 million as compared to 2022. This includes a decline of approximately $24 million in our work for the consumer electronics sector, which created a 5% headwind as compared to the full year 2022. For the year, we grew every other industry driven by strong demand for our reactive services. Net income for the year decreased 1.9% to $100.3 million or $1.94 per diluted share as compared to $102.3 million or $1.96 per diluted share in 2022. The tax benefit associated with accounting for share-based awards for 2023 was $3.6 million or $0.07 per diluted share as compared to $5.8 million or $0.11 per diluted share in 2022. Inclusive of the tax benefit for share-based awards, Exponent’s consolidated tax rate was 26.2% for the full year as compared to 22.6% in 2022. For the year, EBITDA increased slightly to $137.7 million as compared to $137.2 million during 2022, producing a margin of 27.7% of net revenues, which is a decrease of 190 basis points as compared to 2022. This decline in margins was anticipated as expenses normalized post pandemic and utilization was lower due to the growth in headcount. Billable hours for 2023 were approximately $1.495 million, an increase of 2% year-over-year. Utilization for the full year was 68.6%, down from 73.8% during 2022. Average full-time technical employees for the year were 1,048, an increase of 9.6% as compared to 2022. The realized rate increase was approximately 5.2% for the year 2023. Compensation expense after adjusting for gains and losses in deferred compensation increased 9.8%. Included in total compensation expense is a gain in deferred compensation of $14.3 million as compared to a loss of $14.1 million in 2022. This resulted in a $28.4 million change year-over-year. Stock-based compensation expense in 2023 was $20.4 million, which is the same as 2022. Other operating expenses were up 18.4% to $41.5 million, driven primarily by increased employee engagement at our offices, head count growth, investments in our infrastructure and inflation. Included in other operating expenses is depreciation and amortization expense of $8.9 million for the year. G&A expenses were up 3.3% to $24.4 million in 2023. The increase in G&A expenses was primarily due to inflation in our return to in-person work, resulting in increased travel, recruiting and business development costs, which was primarily offset by a reduction in the use of outsourced personnel and a smaller annual company meeting. Interest income increased approximately $5.1 million to $7.2 million for the full year. Higher interest income was driven by an increase in interest rates. Miscellaneous income, excluding deferred compensation gain was $3.1 million for 2023. Moving to our cash flows. During 2023, we generated $127.4 million in cash from operations and capital expenditures were $16.4 million. For the full year, we distributed $54 million to shareholders through dividend payments and $24.2 million in share repurchases. As of year-end, the company had $187.2 million in cash. Turning to our outlook for the first quarter and full year 2024. With a challenging comparison in our reactive business as well as ongoing headwinds in consumer electronics industry and macro-related uncertainty for the first quarter of 2024, we expect revenues before reimbursements to be flat to down in the low single digits and EBITDA margin to be 26% to 27% of revenues before reimbursements as compared to the same period in 2023. For fiscal year 2024, we expect revenues before reimbursements to also be flat to down the low single digits and EBITDA margin to be 25.75% to 26.5% of revenues before reimbursements as compared to 2023. As Catherine mentioned, we are taking actionable steps to strategically align our resources with demand through targeted recruiting and ongoing performance management. As a result, we expect our average technical full-time equivalent employees to decline sequentially 1% in the first quarter of 2024, and 5% as compared to the first quarter of 2023. For the full year, we expect average full-time equivalent employees to be down 6% to 8% on a year-over-year basis. We expect utilization in the first quarter to be 69% to 71% as compared to 70.4% in the same quarter in the prior year. We expect the full year utilization to be 68% to 70% as compared to 68.6% in 2023. Additionally, we remain committed to our long-term target of sustained mid-70s utilization. We expect the realized rate increase for the first quarter and full year to be 3% to 3.5%. For the first quarter, we expect stock-based compensation to be $7 million to $7.3 million in each of the remaining quarters to be $4.5 million to $5.5 million. For the full year 2024, we expect stock-based compensation to be $21.5 million to $22 million. For the first quarter, we expect other operating expenses to be $10.8 million to $11.3 million. For the full year, we expect other operating expenses to be $44.8 million to $45.8 million. For the first quarter, we expect G&A expenses to be $5.6 million to $6 million. For the full year 2024, we expect G&A expenses to be $24 million to $25 million. We expect interest income to be $1.8 million to $2 million per quarter in 2024. In addition, we anticipate miscellaneous income to be approximately $750,000 per quarter in 2024. For the first quarter of 2024, we expect the tax rate inclusive of the tax benefit associated with share-based awards to be 28% as compared to 18% in the same quarter a year ago. For the full year, the tax rate is expected to be 28% as compared to 26.2% in 2023 as we will have less tax benefit from share-based awards. Capital expenditures for the full year are expected to be $10 million to $12 million. We are pleased with the strength and durability of our business model and remain confident in our ability to continue to grow profitably. I will now turn the call back to Catherine for closing remarks.
Catherine Corrigan: Thank you, Rich. As innovation drives complexity and safety expectation to new heights, the consequence of the failure will continue to escalate and our breakthrough insights will illuminate the path forward. While we do anticipate headwinds in 2024, which I’ve described, I firmly believe that our strong market drivers, coupled with the actions we are taking to expand our competitive moat and continue developing our exceptional talent position us to deliver long-term organic revenue growth averaging in the high single digits into the low double digits along with improved utilization and margin expansion. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question today is from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi, good afternoon. Thanks for taking my questions. First one I had is just on the quarter specifically. You guided to mid-single-digit top line growth came in a bit light of that. It sounds like, Rich, that consumer electronics was a couple of million short of what you had previously assumed. Is there anything else that specifically deteriorated in the fourth quarter relative to your expectations. It sounds like there is some budget sensitivity in the chemical sector and some litigation activity being installed by that. I’m just – I’m trying to piece together the fourth quarter first before moving on to the guide.
Rich Schlenker: Yes. Well, you – I think you heard it pretty well there in the sense that, yes, the consumer electronics being still lower than we had expected with some of the work being pushed out into the next year, hopefully. But also you picked up on the point that we did see in the chemicals industry, which is very unusual for us. Normally, litigation work sort of just continues on uninterrupted. What we did see there is that clients, just at least over the short-term, were willing for some of their longer-term dispute issues that might not be going to trial for another couple of years, making a choice to at least pause that work and such. So that is – did have an impact on that as well.
Andrew Nicholas: Okay, thank you. That’s helpful. And then, I guess, taking that a step further, as we look to your 2024 guide. First quarter growth on the top line, relatively consistent or very consistent with what you expect for the full year. I would have thought just given the tough comp that maybe the first quarter or even first half was a little bit more challenged. So can you kind of help me understand the cadence of growth that you expect throughout the year? And maybe what’s embedded in your guidance as it relates to the recovery of the consumer electronics business or even that budget sensitivity you just touched on the answer to my last question.
Catherine Corrigan: Yes, thanks, Andrew. And I’ll come in here and add a little more color in terms of the forward-looking guidance. With regard to consumer electronics in particular, to sort of start there, we had talked in October about how we anticipated that these headwinds based on the funnel of work that we had insight into that we thought that would start to ease sort of coming into the first half of 2024, and that’s what we’re seeing. So this is good. I mean there is – it’s not where it was last year in the first quarter. But we are seeing an improvement there, and we’re very pleased to be working on those engagements and to see that momentum. We do have a funnel that we have some visibility into for Q2 and that is looking positive in terms of continuing. And whereas normally, we would have a bit more visibility into the later quarters in the year. At this point, we have less visibility into that than we normally do. And so that is factoring in when we think about what that full year guidance is going to look like. Some of that uncertainty – how do we how do we think about the acceleration of that growth. It’s tough to precisely predict 2024. But what we are doing is we’re absolutely engaged with our clients. We are getting their feedback. We are hearing from them over and over about how much they value us in those partnerships, and they are really engaging with us about the future and sharing with us what’s coming around the bend and the challenges that they have. So we’re really pleased to be being able to position ourselves at those trusted advisers. On the litigation side, that’s another one that where the timing is difficult to predict. When I talk to clients and I hear about the environment generally around reactive and litigation work, it is a very litigious environment. The verdicts that are coming in around toxic torts and class actions and product liability lawsuits continue to grow and concern our clients. And so long-term, we really do see that there is a lot of opportunity to position ourselves and to grow in those areas. But what’s happened is that the uncertainty of right now has caught up with some of our clients. They are tightening their belts until they start to see some signs of stability in that market. And so as Rich described, you get some of those pauses in litigation. The good news is we are prepared to surge, and we have shown the ability to do that over time. As we manage the business through this and we strategically align these resources, it’s very important for us to be able to respond to those clients’ demands very quickly, and we continue to have that capability. So I hope that additional color is helpful.
Andrew Nicholas: It is. Thank you very much.
Operator: The next question is from Josh Chan with UBS. Please go ahead.
Josh Chan: Hi, good afternoon, Catherine and Rich. Thanks for taking the question. I guess along the lines of the – what has changed type of thinking. I know you mentioned chemicals and consumer electronics. It sounds like that, that might be a few customers. So I guess, are we to interpret the change in growth trajectory as being driven by just a few large customers? Or are you seeing kind of a more broad-based phenomenon than that?
Rich Schlenker: Yes. Thanks for that question, Josh. Look, I think we – the broad-based high hurdle, the reactive business that we have is 60% approximately of our business today. As Catherine mentioned, that grew in the high teens for the full year and that obviously has outsized growth. We’re very encouraged not only about that performance for last year because it clearly shows the demand for our services and what value we offer and all that. But we’re also encouraged about it for the long-term because it means this is really a growing area, and we’ve aligned our resources with the right issues, but we do expect that, that part of the business, yes, through some tightening of the belt but also just sort of against such a high hurdle that we had there will be relatively flat for the – over the next year. And [Technical Difficulty] what’s playing in there. Where else do you find clients that are trying to reset their base as an overall organization. You have the automotive industry that is going through this challenge that Catherine mentioned, where maybe their aspirational goals around EVs are maybe being – are more tempered at this point in time. And they are trying to reset how their organization operates and focuses on a going-forward basis. But it doesn’t eliminate any of these disputes that come up. The perception or fact that people have claims are out there, and they are going to have to address them regardless of where they are financially or where some of these opportunities are going for them. So hopefully, that gives you a little more insight.
Josh Chan: Okay, that makes sense. Thanks, Rich. I guess as you guys talk with your customers, is it more of a broad-based cautiousness around spending in general? Does any conversations revolve around pricing and whether they will give you more business if the price was lower? Is anything like that at all?
Catherine Corrigan: Yes. So I’ll chime in here, Josh. Look, our clients – it’s not unusual at all in any environment for our clients to want to talk about price. But the feedback that we get is that it’s exactly strategically what we are looking for, which is we are reaching to Exponent for our most formidable challenges for the things that are the most difficult where we know that we need the A team. I mean you can always sell more at a higher price – at a lower price, excuse me, but it’s not necessarily about the chasing of volume, right? So strategically, when I talk with clients and get their feedback, we are not in a mode of, well, we just can’t use you guys anymore because you’re too expensive, right? It is no. We incredibly value what we are doing with you and our partnership. We are absolutely going to continue to use you, who do you have coming up in your pipeline that is a rising star that we can look to as part of the next generation. This is a way that we are able to bring newer folks into those more lead roles. That’s been the development paradigm of Exponent over many, many decades. So, those conversations with our clients really do create those opportunities. And so I think that dynamic is very consistent with how it’s been, but they are facing uncertainty. And if they have an opportunity to wait a few months before they have to submit their brief or submit their expert reports, if that judge will let them take that delay, they are looking for those opportunities. That is really where the rubber meets the road. And if they can come back to us and say, look, the expert report isn’t going to be due, we just got it pushed by six months. We want you guys to ease back maybe on your burn rate until then, then that’s – those are the kinds of things that we are dealing with.
Josh Chan: Okay. That’s really helpful color. Thank you, Catherine. I guess the last one from me. During the slower times like this, I guess is there an opportunity for you to generate new business that you currently don’t know about yet? And maybe could you take this opportunity to talk about how new business generation works at Exponent? Thank you.
Catherine Corrigan: Yes, absolutely, Josh. So, it’s a critically important focus that we have always, but even a sharpened focus now when we look towards what does that portfolio of service is going to look like next year or the year after or in 5 years or 10 years, right. So, it’s about engaging with our clients, it’s about having our teams sitting on industry standards committees. It’s about having them with their finger on the pulse at technical and scientific conferences. It’s about them being thought leaders who are up giving keynote addresses to those industry and technical conferences. These are the ways that we are able to ensure we are staying ahead of the curve with our market, positioning ourselves by developing people in these areas. We have been anticipating our clients’ needs for decades. And what we are doing now in advanced driver assistance systems is a wonderful example. We invested in research. We saw the holes in the scientific data. 5 years to 7 years or 8 years ago, we made those investments. We did that testing. We published it. We took it on the road. And now that the litigation curve is in that particular area is accelerating. Our experts are the number one in the market for those particular areas. So, this is a constant focus for us. With the advent of artificial intelligence and the increase of that in terms of its presence in products, these are areas where artificial intelligence is asked to make decisions, and these are safety critical decisions and health critical decisions and we envision that there are going to be challenges with those decisions, and they are not always going to be right. And so this client base is going to need the kinds of insights that Exponent brings, and we are focused on positioning ourselves to be the thought leaders in those areas.
Rich Schlenker: Josh, I want to add in here. It is important for everybody to understand that most of our worker – as a company we don’t run a backlog report. We don’t have multiyear contracts for which we are working off and doing it. So, when we are developing our guidance and our forecast, we are going out to our employees and to our business units and getting a forecast for the next 10 weeks or so. And certain areas might have visibility and certain demand and things that are happening around certain projects beyond them. But a lot of it is where is the market going. Yes, there seems to be elevated amount of litigation or product launches or where they are in their product life cycle, what are those trends and where are they going. We also then, as Catherine and I are trying to develop that guidance and looking forward, need to be looking at the current market trends and doing that more than we are looking at a particular backlog report. On the other hand, this is a portfolio of projects to remember. We do 8,000-plus projects a year, 20% of those make up 80% of our revenues, very traditional model. And so we are reliant upon that sort of nice broad portfolio across every sort of major industrial industry across a very diverse set of clients within each industry and then a – then multiple projects within those clients at times within those industries and that is what makes it up. And many of the projects we are working on today will definitely be going in the second quarter, third quarter and some in the fourth quarter and on to 2025. But the ability that something could settle is always out there. It will happen, but there is also the regular flow of business coming in. So, we are needing to develop our guidance and such based on that market knowledge that we are collecting in from our people who are out in front with our clients.
Josh Chan: Okay. That’s helpful. Thank you both for the color and your time.
Catherine Corrigan: You’re welcome.
Operator: The next question is from Tobey Sommer with Truist. Please go ahead.
Tobey Sommer: Thanks. I was wondering if you could discuss consumer electronics as a category over time, the extent to which it grew to be sort of a larger category and industry vertical for the company and the extent to which it’s normalized, sort of if we could just talk about the building and then maybe the arc down as we read more and more about global tech firms focused on profitable growth and a little bit less of the moon-shots that have characterized prior years.
Rich Schlenker: Yes. Thanks for that. It is a very interesting evolution that’s occurred in our firm. It really started a little over 20 years ago that we started to get involved to that industry, and that industry really started to evolve. And many of the issues that they initially had, which is still a big part of what we do for them today is around batteries or energy storage in those devices. And that was one of their most complex challenges they had in the late ‘90s and early 2000s. And it still remains their – one of their most challenging components that they have today when you think about how those components have evolved. But what we did in that early part was it was very focused in a complex area for which they inside their organization didn’t really have the expertise in that new technology that was coming out, and we could – and we were experts in failure analysis and did it for them. As they wanted to learn from that and build that back into their design cycle and do it prelaunch and build that in, the work started to grow into how we could help clients in developing more reliable and safe products through that period. And that really was the acceleration of our – that really allowed this to go from a couple of percent of our revenues in 2000 probably to begin to accelerate and grow to nearly 10% probably plus of the business in the early 2010s and beyond. That was there as we started to get into the other components of their device, all of those questions about bringing in new types of ceramics and glasses and electronics and doing all of that, they began to realize the breadth of Exponent’s expertise and how we could again move upstream for them instead of just reacting on a failure analysis basis. And really over that sort of 10-year period of time, we really across the industry became a trusted advisor, moved upstream. We are helping them in their design process, helping them evaluate suppliers, helping them as products were being designed and developed, identify failure modes and how to correct and address those. As that evolved, we were very hardware-driven at that point in time. And as we got – as clients wanted to begin and move in the early days of really using biometrics and other algorithms or AI at the early stages, they are into their products. They needed to collect and validate these functions within their devices. And to be able to do that and know that you could launch a product that was not going to have any biases in it and the marketplace became a key driver as you move from thumbprint recognition to facial recognition and beyond. And that’s where we came to the client. There really wasn’t somebody else doing it and came up with how we could go out, collect the information that would help them in validating their models and be able to go to market with these products that were highly reliable in that. And so that work began in the mid-teens 2016 timeframe. And since that time, as you have heard us talk about our user study or human subject studies, we have helped them as they have evolved their products to be so integrated with the human behavior and such in the human environment to go out and collect information and help them in that process of doing it both in the human factors side, in the biomechanical safety side, as well as just great data that might not even be a human subject for their – for the machine learning that they were doing and developing that. And that has definitely gone from being none of our business in 2015, let’s say, to being a sort of mid-single digit, high-single digit percentage of the business that we had in 2022 or so. We did see, as clients hit this challenging market environment, but it also was very much about where they just happen to be in their product life cycles that also impacted how much of that activity that they were engaging us with in 2023. And that is where we hit a lot of it. Yes, we did see tightening as you would expect, but it didn’t go away on that hardware sort of failure analysis. We definitely – we just took that, we were down with clients. but not to the degree that some of this that was driven off a product life cycle and probably the tightening of the belt that occurred really in this area of human subject matter studies that we had in that period of time. So, what we saw was that our business in consumer electronics in 2022 was a little over 20% of our business, 22% of our business in 2022. And with this pullback that we described, it became 16% of our business in 2023 and only 14% of our business in the fourth quarter. So, that is the headwind that we are having in that area and sort of the evolution over the last 20 years to 25 years of our business.
Tobey Sommer: Okay. Thanks for that expansive in answer. Is it – does that 14% represents in your view, a normalized proportion? Just trying to understand if there is kind of another leg to go in this area? And maybe as an additional follow-up to that, and I will get back in the queue after this. Is there another industry vertical that has seen sort of extraordinarily – extraordinary growth over the last 2 years or 3 years that you would care to highlight this afternoon?
Catherine Corrigan: Thanks Tobey. I will sort of chime in, and I appreciated Rich’s view of the history there. But in terms of forward-looking growth opportunities in the electronics space, we absolutely believe that we can continue to achieve growth in this sector when we look at the evolution of the products, when we look at the role of artificial intelligence in being able to create the kinds of user experiences, and the kind of performance that is being demanded by these. The other piece that I think is really important is the blurring of the line between what is a consumer electronic device and what is a medical device. This is a place where those lines really are blurring. When you are doing it as a wellness feature, it’s one thing, and when you are putting a feature on your device that’s going to tell you, you are about to have a heart attack. Those are two very different things. And the FDA starts getting interested in that and so forth. And so we are in an exceptional position with our experience across life sciences as well as electronics as well as our ability to do human subject testing that is sufficiently rigorous to be accepted by the Food and Drug Administration. Because of our knowledge of those regulatory environments, we are able to do that, which is an absolute competitive advantage. All of these things, we believe are great opportunities for us as we go forward. Despite what we have seen in terms of this reduction in the overall percentage going forward, we are excited about the opportunities, and we are positioning ourselves for those.
Rich Schlenker: Alright. Tobey, as to answer your last question, which was really about we have seen some other areas that have had some higher growth over the last couple of years. We definitely saw, as was highlighted in Catherine’s comments in the release that our transportation area and particularly that sector within the automotive was – did grow in the mid-20s as a percentage of our – that industry, I am sorry, grew there. So, that was strong in the last year. That is a very diversified portfolio of clients and experts that we have there. A lot of that good growth is being driven by the advanced driver assistance part of it, not necessarily by because clients were leaning in on just EV, Catherine did highlight one of our recent engagements there, but it is broad-based. We definitely have work in the EV area. I would say that didn’t grow as much as we expected it to grow in the last year, which is consistent with what we are seeing from the industry and its challenges. But what we do know is that, that fleet of EVs or electric vehicles, it’s going to grow and grow substantially. It may not grow at the rate that the numbers the industry was putting out. But that is going to be a larger part of the fleet. And what we are seeing is continued complications and recalls across the client base in this area. But again, it still remains a small part of our total portfolio that’s in that area. And we would expect, even with the industry slower growth that it’s going to be a growing area for us over the next several years to decades.
Tobey Sommer: Thank you.
Operator: This concludes our question-and-answer session, and also the conference call has now concluded. Thank you for attending today’s presentation. You may now disconnect.